Manuel Manrique Cecilia: Good morning. I'm Manuel Manrique, Executive Chairman of Sacyr. I'm joined in this presentation by Pedro Siguenza, Chief Executive Officer; and Carlos Mijangos, the company Chief Financial Officer. Thank you very much to all of you, analysts, investors and media representatives for attending this presentation of Sacyr's financial results for the full year 2025. In fiscal year 2025, we reached the halfway point of our 2024-2027 strategic plan. And I must say that the results have been highly positive. Over the past 2 years, we have delivered significant additional value in our concession assets and increased our cash flow to invest in new projects. Therefore, confirming that our business model is increasingly solid, growing and profitable. This strong performance has been accompanied by an increase in our share price and cash dividend distribution, directly delivering the benefits of this business model to our shareholders. Between 2021 and 2025, our market capitalization increased by 152%, significantly outperforming the IBEX 35, which rose by 114% over the same period. The solid balance sheet for the first 2 years of the plan makes us very optimistic about meeting and even exceeding the overall targets under the plan, which will bring us closer to our goal of becoming world leaders in greenfield project development by 2033 as we announced back in the day. Now looking at the specific figures of this midterm review, I should mention the following. Operating cash flow of EUR 1.359 billion. This has exceeded the target 2 years ahead of schedule. We have secured 5 new concession project awards by contrast with 3 or 4 initially estimated with EUR 905 million in new capital invested, we have almost reached the target of EUR 1 billion that we set for the 2024-2027 plan. Concession distributions amounted to EUR 224 million, well above expectations. Net recourse debt is at minimum levels. We have also obtained an investment-grade rating, and we have distributed a first cash dividend of EUR 225 million, which is the total that we planned to distribute over this period. These figures indicate that by the end of 2026, we shall have practically fulfilled the entire plan a year ahead of schedule, and we shall be ready to set new more ambitious goals, especially depending on the outcome of some significant tenders in Australia, Italy and the United States where we are competing. Thanks to the awards won in the last 2 years, future concession distributions have increased by 18% to EUR 19 billion, which is a real strength for the sustainability of this business model. Since the last Investor Day held in May 2024, total future distributions have increased by more than EUR 3.1 billion, excluding those received since then. This important data reflects the awards that we report each year. We are a company experiencing exponential growth, but one that needs a certain amount of time to build and commission assets. We are investing in the future because today's successes will be seen in 3, 4, 5 years down the road and in the form of distributions from our concessions. Concession distributions amounted to EUR 224 million in fiscal 2025, 17% more than initially estimated under the plan. And if we add to this the proceeds from the sale of the Colombian motorways, the figure exceeds EUR 500 million. I would like to take this opportunity to highlight the value of this divestment, which is 12% above our internal valuation due to the EBITDA multiple obtained and also because it helps us to balance our sources of income with a view to consolidating the global group we want to build. The 3 Colombian assets included in this successful transaction, which we carried out by taking advantage of an excellent opportunity were already part of Voreantis. We have everything ready and continue to see a lot of interest among potential investors. But as we do not currently need cash for the projects in our portfolio, we shall undertake this transaction when we see the right market window. After progress made, the valuation of the assets also continues to rise. As of December 2025, it reached almost EUR 4 billion, in line with the target of EUR 5.1 billion by the end of 2027. The EUR 4 billion valuation figure does not include the latest assets awarded to the company, including the 2 water plants in Chile. And I would like to highlight this as one of the major milestones reported in the prior fiscal period. That is why in the coming months, we are planning to offer an updated valuation, which would undoubtedly already be in the north of EUR 4 billion. As for 2025 income statement, noteworthy is the improvement across lines. Revenue grew by 2% to EUR 4. 6 billion with a net profit, excluding divestments in the amount of EUR 165 million. That would have been 46% more. 93% of EBITDA comes from concession activities. In this regard, 73% of the construction portfolio is for our own concessionaire already. Operating cash flow in turn amounted to EUR 1.359 billion, up 5% and the net recourse debt ratio is just 0.18 compared to 0.42 a year earlier and far below the 1 percentage point we had committed ourselves to. These rocket solid results demonstrate the success of the concession model for sustainable and stable growth. In 2025, we achieved a milestone that we had already announced back in the day. Cash flow exceeded EBITDA, which gives us great strength to face the challenges ahead. Let me remind you that financial assets of most of our concessions, once they become operational, EBITDA goes down and cash flows go up. Well, that has already occurred and cash flows will continue to rise as standing out from EBITDA, which will slide down progressively. Now I would like to mention other milestones achieved during fiscal year 2025, such as a record 5 concession awards, 1 in Paraguay, 1 in Italy and 3 in Chile, 2 of which are major water assets. The investment grade rating obtained from a global agency, that's another milestone. Our exceptional positioning for the future in the managed lanes sector in the U.S. and in the water sector in strategic markets. The outstanding divestment of the 3 Colombian assets, as I said, 12% above our initial valuation. Also the fulfillment of our commitment to pay a cash dividend together with a scrip dividend for the benefit of all our shareholders and the division of executive functions carried out during the fiscal year, which enables us to continue fulfilling our strategic plan and preparing for the future with the utmost assurance. Finally, I would like to mention Sacyr's leading position in the field of sustainability. With 5 years of continuous improvement having been reported in Standard & Poor's Global book. Also as the only European infrastructure company with a CPD rating in water and climate in 2025 and among the world's best companies with the lowest ESG risk profile according to Sustainalytics. Next, Carlos Mijangos will provide you with more specific data and details on the income statement and balance sheet.
Carlos Gorozarri: Thank you, Mr. Chairman. We shall now analyze the company's operational and financial performance during fiscal year 2025. First, let's take a look at the results for 2025. Revenue reached EUR 4.66 billion, up 12% year-on-year. EBITDA stood at EUR 1.358 billion, maintaining a margin of around 29%, which reflects strong operating performance in terms of net profit, excluding divestment, there was a very significant increase of 46%, reaching EUR 165 million. However, the sale of assets in Colombia had a one-off effect of minus EUR 80 million, reducing the final net profit to EUR 86 million. Operating cash flow in turn amounted to EUR 1.359 billion, up 5% compared to 2024, demonstrating the company's ability to generate cash from its assets, and this is higher than EBITDA. As the Chairman pointed out, I would like to mention that due to the accounting associated with concessions with the risk of litigation, which are considered financial assets for accounting purposes, maximum EBITDA is achieved at the end of the construction phase. And as the years of operating -- operation elapse, EBITDA slides down, but operating cash flow climbs, resulting in this effect where more operating cash flow has already been generated than EBITDA. From a financial standpoint, the company has achieved an investment-grade rating from Morningstar DBRS, which is a sign of strength and confidence for investors, allowing it to diversify source of financing, reduce costs and simplify the prequalification processes for new projects. Furthermore, this opens up the opportunity to issue debt in the U.S. market through private placements known as USPPs. In the area of divestments, as the Chairman pointed out as well, the sale of 3 motorways in Colombia for EUR 1.565 billion stands out with a multiple of 2.7x the capital invested and 12% above our internal valuation. With regard to treasury share transactions, the company remains committed to value. We currently hold 30 million shares through forward contracts with an average reference price of EUR 3.36. As for shareholder remuneration in 2025, we made a steady progress on increasing the cash dividend with a payment of EUR 0.045 per share having been paid in July and a dividend in January, maintaining the policy established in our 2024-2027 strategic plan to remunerate with at least EUR 225 million in cash during the planned value. Capital contributions and distributions. Between 2025 and 2033, concession distributions of more than EUR 3.7 billion are expected with EUR 1.6 billion in capital contributions being committed to our projects. The net cash available for future growth amounts to EUR 2.14 billion, which is a very significant figure that will enable us to compete with top-tier companies in the sector for the largest infrastructure projects currently being tendered. Long-term outlook, total estimated distributions through 2021 amount to EUR 19 billion, driven by new awards, discounting asset turnover in Colombia, and this will generate an average annual distribution of EUR 460 million, which further reinforces the company's growth capacity. If we now analyze the evolution of consolidated net debt, it has been reduced by EUR 532 million. It is worth highlighting the strong operating cash flow generated by business activities amounted to EUR 1.358 billion. Then we had the financial result generated mainly by project debt amounting to EUR 609 million. We have invested more than EUR 800 million in our assets and received EUR 281 million from the sale of assets in Colombia. Finally, under the heading of miscellaneous, there is a decrease of EUR 335 million due to 3 main impacts. Debt reduction due to the effect of the consolidation of Chilean assets that were held for sale in 2024 and then the deconsolidation of Colombian assets already sold for a net amount of EUR 222 million. That's the net effect. There is also a debt reduction due to exchange rate differences in the amount of EUR 190 million and debt increased due to leases and dividends from the parent company amounting to EUR 82 million. As for net debt -- net recourse debt, the most notable event of the quarter were the funds received from the sale of 3 Colombian assets totaling EUR 281 million. And this cash inflow together with seasonal recovery in working capital and taking into account investments and financial expenses over the quarter brings us to a figure of EUR 59 million, which is the lowest level ever achieved by the company. With this positive debt figure, the ratio of net recourse debt to recourse EBITDA plus dividends is 0.18x, well below the maximum commitment of 1x. The process of deleveraging and reducing debt and risk undertaken by the company in recent years is quite evident, going from EUR 850 million in 2019 to EUR 59 million in 2025. And now I give the floor back to the Chairman.
Manuel Manrique Cecilia: Now Pedro Siguenza will provide a detailed view of the performance of each business line.
Pedro Siguenza Hernandez: Thank you very much, Mr. Chairman, and good morning, everyone. I will now address the company's performance broken down by line of business in fiscal year 2025. Once again, we achieved a record with 5 new greenfield concession projects awarded, representing a success rate in our bids of over 50% because we were awarded 5 contracts out of 9 bids submitted. In 2025, we were awarded projects totaling EUR 13.6 billion, increasing our portfolio as of December 2025 to a total of EUR 67.425 billion, and this affects all of our portfolios. We have created value for our water division with the award of 2 major concession projects, Antofagasta plant in Chile, the largest wastewater reuse plant in Latin America, which is a key project to secure water supply in the Antofagasta region with an investment of EUR 295 million, a duration of 35 years and an estimated portfolio of EUR 2.5 billion. And the Coquimbo desalination plant, which is the first desalination plant under a public concession tender in Chile with an investment of EUR 305 million, a duration of 21 years and an estimated portfolio of EUR 1.2 billion. The plant will have an initial capacity of 800 liters per second with the possibility of expanding that capacity to 1,200 liters per second and will directly benefit more than 540,000 people in the municipalities of La Serena, Coquimbo, and Ovalle. Within our hospital specialty segment, where we are a global leader with more than 80 premises built throughout our history, we have added to our portfolio, the City of Health & Science project in Novara in the Piemonte region of Italy. This is a multifunctional complex that will encompass a new hospital and a university campus with an investment of EUR 125 million, a duration of 25 years and which consolidates our position in Italy, one of our core strategic markets. As for transport infrastructure, we have been awarded 2 new concession projects. The Asuncion elevated Urban Highway, which extends the Eastern route in Paraguay. This is a project with an investment of EUR 174 million and a duration of 23 years. Then the Piemonte route in Chile, a 20-kilometer stretch of highway that is key to the road modernization plan in the Biobio region of concession with an investment of EUR 330 million and a duration of 45 years. With these high greenfield project awards, we continue to ensure our commitment to the steady growth of our successful concession model. Furthermore, today, we can announce that we have just signed the contract for our first concession project in Canada, the Ontario Science Museum in Toronto, a project that will transform the Toronto skyline and open the doors to one of the most modern science centers in the world. This is a 30-year concession entailing an investment of EUR 260 million. And we hope that this contract will be the gateway to other new concessions in Canada in the future. This slide shows a map with the main opportunities that we are bidding on, prequalifying for or studying in line with our strategic plan commitment to increase the weight of our portfolio in English-speaking countries with a special focus on tenders in North America and Australia, but without neglecting our strategic European and Chilean markets. In the United States, as you know, we are prequalified for the managed lanes in Georgia, the I-285 in Atlanta and the I-24 in Tennessee in Nashville, and we will be submitting bids before the summer break. In addition, last Friday, we were prequalified for the I-77 in North Carolina, another express lane on the southern approach to the city of Charlotte. As you can see, we're also pursuing other managed lane opportunities that are expected to be prequalified shortly in the United States. In Canada, in addition to the aforementioned Ontario Science Center concession, which we have been awarded, we are pursuing various hospital concession opportunities such as the Windsor Hospital for Ontario infrastructure, where we are preparing for prequalification as well as several collaborative construction projects such as expansion of the Toronto Airport and the extension of Line 1 of the city's subway system for Metrolinx. In Australia, we'd like to highlight the recent partnership with the local build group and the award of our first hospital project in the country, Peel Health Campus in Mandurah, Perth, for which the initial design contract was signed last January. Together with build, we are exploring other opportunities in the hospital construction sector, such as the Parkville Hospital concession in Victoria and various landmark buildings for the 2032 Olympic Games in Brisbane. In addition, we are competing for major water projects such as the desalination plant for Northern water supply in Adelaide, the wire long water treatment plant south of Brisbane and the Aurora reuse plant in Melbourne. In our strategic Italian market, we have submitted our prequalification for the A22 motorway connecting Modena with the Brenner Pass to Austria. And we are still awaiting the tenders for the Turin, Milan, and Brescia-Padua sections of the A4 motorway, which are due to be put up to tender shortly. Also in Europe, we are analyzing the tenders for the high-speed train from Porto to Lisbon and in Ireland for Metrolinx, the connection between Dublin and the airport, both under concession. I would also like to highlight the National Health Service program in the U.K., a framework agreement to build hospitals under a collaborative contract model with an initial wave of 11 hospitals worth GBP 15 billion which will be expanded to GBP 37 billion. And we are now expecting the official announcement of the company shortlisted for the execution of these projects shortly. And in Chile, we are pursuing several water and highway concession projects such as the Caldera-Antofagasta Highway, which is a private initiative developed by Sacyr, the Rio Bueno-Puerto Montt section, both on Route 5 and Route 57 between Santiago and the Andes among other opportunities. I will now provide you with some details on the performance of our lines of business. The Concession division recorded revenue of EUR 1.892 billion, representing an increase of 8% over the prior period. The impact of the exit from the scope of the 3 motorways sold in Colombia as well as the accounting effect of the evolution of operational financial assets have affected the division's operating income and EBITDA by 4% and 14%, respectively. Construction revenue in turn rose by 50% due to the progress of major new greenfield projects such as the Velindre Hospital in Cardiff, the Buga-Buenaventura Highway in Colombia and the Ruta de la Fruta in Chile. In fiscal 2025, we invested EUR 275 million in this division, bringing the total equity invested in our infrastructure assets in the transport sector to EUR 1.71 billion after deducting investments, whereas distributions from our concessions amounted to EUR 212 million in 2025. This year, we also commissioned 3 assets, all of them in Chile, the Atacama Airport in January, the Itata route in April and 68 on July. On March 1, we will commission the Antofagasta Airport project. As for Engineering & Infrastructure, revenue grew by 8% to EUR 2.971 billion, thanks to the growth of our activity in Italy and particularly the contribution of the A21 motorway. For this same reason, EBITDA rose 31% to EUR 552 million. If we analyze the construction activity only since, as you know, Italian concessions are included in this division, the EBITDA margin remains stable at 4.8% over the revenue figure. The division's portfolio set a new record, increasing by 18% over the year to EUR 12.47 billion, of which 73% of the portfolio, as the Chairman pointed out, corresponds to activities for our own concessions. Noteworthy milestones in the last quarter include the successful completion of the US 62 highway in Lubbock, Texas, bringing the total number of road projects completed in the country to 11 to date, which demonstrates our ability to execute complex projects in the U.S. As I mentioned before, the award and execution of the Peel Hospital contract in Perth. This is alliance-based contract, that is to say a collaborative contract, which is one where we prioritize the execution of works for third parties. Finally, our Water division continues to post the double-digit growth reported in 2025, both in terms of revenue, which is up 25% and now exceeds EUR 300 million and in terms of EBITDA, which reached EUR 62 million, 23% more year-on-year. The portfolio grows by 45% to EUR 6.979 billion. This figure does not include the Coquimbo desalination plant, which will add another EUR 1.2 billion to this portfolio in March once the contract is signed. Total equity invested in the concessions of this division amounts to EUR 128 million, and the assets have delivered EUR 12 million this year. So with this year's awards for 2 major concession projects, Antofagasta and Coquimbo, we have given a major boost to our goal of growing our water business within our 2024-2027 strategic plan. Now I give the floor back to the Chairman for some concluding remarks.
Manuel Manrique Cecilia: Thank you very much, Pedro and Carlos. Sacyr will celebrate its 40th anniversary in 2026. I sincerely believe that we are at the peak of our trajectory. We have a clear-cut strategy focused on concessions and avoiding risks. We have a healthy balance sheet with a strong cash position and well-structured project debt. We have also eliminated corporate debt. We are ideally positioned to tackle the challenges of transport, hospital and water infrastructure from a public-private partnership perspective. Halfway through the 2024-2027 strategic cycle, I have no doubt that we will successfully complete it, thanks to last year's achievements, which represent the fulfillment of our commitments to shareholders and the market. Our success in securing concessions with 5 new awards to begin with and which, as we have said, will form the basis for this progressive increase in total distributions in the coming years from concessions, together with the multiple growth opportunities that we are bidding for in our strategic markets, and with more than EUR 2.1 billion available to invest between now and 2033. In terms of equity, let's make this clear. Second, cash flow exceeds EBITDA and continues to rise. Thirdly, the achievement of the investment-grade rating, which will enable us to increase our sources of financing while reducing finance costs. And finally, shareholders' remuneration with the first cash dividend payment. I would also like to take this opportunity to thank Sacyr's all 15,000 professionals around the world for their work and engagement over the past year and send them a message of confidence in this company's project. Thanks to each and every one of them, we can report on the milestones achieved in our strategic plan today. In 2026, we shall continue working to fulfill our outstanding commitments, and we are ready to celebrate our 40th anniversary and move forward with even greater strength. We are now available to answer your questions.
Alberto Gargoles Gonzalez: Good morning, everybody, and thank you very much for joining us at this financial results presentation of Sacyr. We are going to start with those questions posted via telephone first, and then we are going to tackle the questions coming through the website. [Operator Instructions] Luis Prieto from Kepler Cheuvreux is going to ask the first question.
Luis Prieto: I had 2 questions. The first question has to do with Voreantis schedule. I understand that Pedemontana is a requirement for rebalancing purposes. But since the Chairman has conveyed that there is maybe we should have to wait until next year for the transaction to be launched. We have offset some transactions that were launched in the past with a scope different from the ones initially estimated. Could that happen with Voreantis? Well, could that be the case? We are going to answer in a minute.
Manuel Manrique Cecilia: Well, regarding Voreantis, I think that it was made quite clear. We did the reversal of 3 key assets. We announced that we have EUR 2.140 billion in equity to invest. We do not need that operation for further investments. And second, we have a pipeline, which is huge. And we believe that it will even improve our vision going forward positively. So this will establish a new strategic plan as well as what will happen with Voreantis. As for the question concerning the scope, the transactions that we engaged in were ones where we adapted ourselves to do whatever was best for the company at each point in time, and that is exactly what we're going to do with Voreantis.
Alberto Gargoles Gonzalez: There are no further questions over the phone. We are going to address the questions that were posted through the webcast. Filipe Leite asks whether we can confirm or whether we can give more color on the contract that we have just announced for the Ontario Science Museum, the investment figure and our stake in such a consortium. We are also being asked about our stake in the consortium where we are bidding for concerning managed lanes. And as for equity concerning construction and upfront payments, which are the amounts that we are analyzing for the managed lanes? And fourth, when do you expect to reach the rebalancing of the Pedemontana project, I have to say the financial balance. We will get back to you in a minute.
Manuel Manrique Cecilia: Let's see. The contract we have announced over the Toronto Science Museum project entails an investment of EUR 280 million. We are going to go hand-in-hand with Amico and John Laing. As for the managed lanes, we are going to work with Plenary. This is a Quebec fund. And then an Israeli company with a 50% stake in construction and a 30% stake in equity. And we have already been prequalified as far as this project is concerned. Regarding the Pedemontana related question, Filipe, we have a contractual entitlement to the rebalancing. So I have the same concern as the one announced 6 months ago. That to say, we do not have any worry about this. There were regional elections, and that normally puts the schedule off. We continue to engage in meetings with the authorities and the Big Four that has been appointed to this end, but you know that time management in Italy has its peculiarities. This is going to be the third rebalancing process concerning this concession, but we are not worried about it at all.
Alberto Gargoles Gonzalez: Thank you, Mr. Chairman. The next question is by Julius Nickelsen from Bank of America. He asked about the Pedemontana project. And he says whether apart from the transaction concerning Voreantis, there is another potential divestment being analyzed such as in Chile. And second, whether we can provide an update about conversations with rating agencies. We will get back to you in a minute. Thank you.
Manuel Manrique Cecilia: As for Chile, there's always interest around our assets. However, when there is anything concrete, we are going to make the relevant announcement as we have always done. As for the rating agencies, we have been working with several agencies for quite some time. We were waiting for 2025 results being published in order to keep moving forward. Our goal is, therefore, to keep on engaging in conversations with them or exchanging information with them in order to get a new rating.
Alberto Gargoles Gonzalez: We are going to go back to the telephone line because Miguel Gonzslez from JB Capital has a question.
Miguel González Toquero: I had 2 questions, 2 quick questions. The first question is the following. You provided an update of dividend evolution and equity committed in concessions. The gap between dividends and equity in 2026 has narrowed down compared to the guidance provided in Q3. Therefore, I would like to know about the FFO final picture, especially after the divestment in Colombia. Do you expect any growth in this respect compared to 2025? And then concerning the pipeline shown on Slide 25. We are talking about the United States here, but could you give us more visibility about the timing or about the budget concerning the most relevant awards all the tenders in Italy, the Route 5 in Chile or the project in Portugal, I believe that you decided to withdraw after the first tender. Could you give us any additional information in this respect? I would appreciate that.
Alberto Gargoles Gonzalez: Miguel, we will get back to you briefly.
Unknown Executive: Okay. Miguel, I'm going to answer your question concerning the funds of operations. On a like-for-like basis, most of our assets have to do with payment upon availability, but inflation normally results in increased cash flows compared to the prior year. Here, we are also factoring in the assets that we were awarded in 2024 and 2025. Those which are greenfield, of course, do not have a contribution to operating cash flows, not now, but they will in the future. Then we have EUR 200 million coming from Colombian concessions. On a like-for-like basis, of course, we're going to grow. In absolute terms, we had to factor in those EUR 200 million and include the greenfield assets that we have been awarded over the past 2 years, and therefore, we are going to report similar figures. As for the question concerning timings, the 2 managed lane projects in Georgia and Tennessee in the United States were announced before the summer break. Route 5 in Chile is going to announce next month and Route 57 is going to be announced in June. As for Italy, and as the Chairman said, actually, the tender for the Brescia-Padova-Turin motorways should already be available, but actually, we are still waiting. As for the Portugal section of stretch project, it has been put out to tender once again. There were no bidders and therefore, they decided to change the terms and conditions, and we are now waiting for this to be announced in May. We are paying close attention to developments.
Alberto Gargoles Gonzalez: We go back to webcast questions. We had 2 questions, one from Victor Acitores. Are we currently analyzing the possibility of approving a new incentive plan tied to share price? And secondly, are we planning to update the evolution of our assets in fiscal 2026?
Unknown Executive: Okay, Victor. We shall be presenting a new incentive plan for management members in line with share prices and always in line with the best interest of shareholders, and we shall be doing so in the coming months. Secondly, based on the first half yearly results, we shall review the value of our assets.
Alberto Gargoles Gonzalez: The next question is by Julius once again from Bank of America. Could we please confirm whether we are going to update the figures under our plan? Are we going to present a new plan? Or are we going to hold an Investor Day? We will answer shortly. Thank you.
Unknown Executive: Well, based on the results expected from this pipeline in Q4 2026, we expect to undertake a new strategic plan. As usual, we will keep you posted about all this and about the timing.
Alberto Gargoles Gonzalez: Thank you very much. There are no further questions. Now let me give the floor back to the Chairman.
Manuel Manrique Cecilia: Well, if there are no further questions, we thank you once again for your presence, your attendance and interest, and we wish you all fare well until the next presentation. Thank you very much, and have a good afternoon. [Statements in English on this transcript were spoken by an interpreter present on the live call.]